Operator: Good evening, ladies and gentlemen. Welcome to the presentation of Group M6's Annual results for 2025. [Operator Instructions]. I will now give the floor to Mr. David Larramendy, the CEO of the Group. You have the floor.
David Larramendy: Thank you. Good evening, everyone. We are delighted I'm with Jérôme Lefébure here. We are happy to introduce the results for the year 2025 and to talk about the year 2026 that has already started. For 2026, only 2 figures to remember. That was a good year with an EBITDA of EUR 214 million for a current operating margin of 17%, and EBITDA margin, which is relatively high amongst our peers. If we take more figures for consolidated sales, EUR 1.256 billion with EUR 225 million of non-advertising revenues. So slightly over EUR 1 billion in advertising revenues, EUR 1.032 billion. And then I'll come back to the breakdown of advertising revenues for the main messages. We still have robust growth in streaming and the transformation of our model. You know that it's a major point with revenue growth of 27% at EUR 126 million for the year 2025. Strong profitability, I've talked about it. and the net income group share at EUR 123 million. Some of that is related to some operational declines and also some accounting items that we'll come back to in a minute. A word before we come back to our audiences for advertising, especially the main source. Video advertising revenue, EUR 884 million, minus 3.1%. We reckon that the entire market is down by 8%. So we significantly outperformed with a video advertising market share, which is around 27%. So 1.4 percentage points growth. This overperformance is explained by our ratings. We'll come back to that in a second and also a change in the number of players with the appearance of 2 less powerful channels and 2 channels that went off air in the year 2025. Looking at our programming schedule, we had a number of major changes, especially around access prime time -- well, access prime time doesn't necessarily have huge ratings, but that's 7 days a week, 52 weeks a year. So that makes a strong contribution to building up annual ratings, and we had good successes, especially with our game show offering and programs that work very well. The other specific focus that we had was entertainment, prime time entertainment programs with very good seasons. Well, you can see here, Farmer Seeks Wife or France's Got Talent generation after generation, many, many French people are drawn to it, and they do very well both on linear TV, but also digital TV. They are major contributors for M6+. News magazines, especially during prime time, Capital, Zone Interdite or Enquête Exclusive, Late Nights or 66 Minutes access prime time are still doing very well for 2025. We also had the Champions League final that was won by PSG, which was the second best audience for us for 2025 and the best for under 50s. All these efforts, all these changes and choices that were made in the last few years resulted in group audience performance that is good. The year 2025 was the best year in the last 3 years for the entire audience, the best of the last 4 years for the entire commercial target. You can see the 25, 49 age group and that's the same thing. If you look at Women Responsible for Purchases, WRPs, the best of the last 4 years, that's working quite well. And that's also visible when you're looking at the ratio between our ratings and those of our main competitors, especially for prime time because that's when we generate most of our revenues. The ratio is 76%, something that hasn't been achieved in the 2020s. That was M6. Now a word about what really matters, W9 with structural changes that were made with the arrival of the Tout Beau Tout N9uf chat show with Cyril Hanouna from 1st September onwards at 6:30 p.m. and Y’a que la vérité qui compte that also reached our schedule, and we still broadcast magazines and reality TV shows like Temptation Island. All that paid off in terms of audiences quite spectacularly so. You could see that on the slide. Ratings, both for the entire audience over 4s from 2.2 to 2.5 audience share, 40% growth, 14% growth. And it's even more striking if you look at the 25 to 49 age group, which is the main advertising target, the audience share went from 3.4% to 4.2%. That's 24% growth, mind you, which is quite remarkable, especially given the main changes in programming that were made in September. And so the channels ratings were only impacted for 1/3 of the year. Other DTT channels behaved very well as well. Sixster grew on its main target, WRPs under 50, 2.8. That's a historic year for Sixster and Gulli. During the daytime, it focuses on children between 4 and 10 and ratings reached record levels for the last 6 years. And finally, M6+ digital development. You know that it's a fundamental development area in our transformation, a model with 2 legs, linear and digital. We still have good figures for consumption and audiences with 29 million, a reach, a cover of 29 million French people a year, nearly 80% growth over 2 years. Consumption reached, well, exceeded 600 million hours viewed and streaming revenues stood at EUR 126 million plus, 73% over 2 years, well, compared to -- and plus 26% compared to last year. The goals that we set for M6+, you remember them, achieved EUR 200 million in revenues, EUR 125 million more than the 2023 revenues. We had EUR 52 million growth compared to the initial base. So we are slightly ahead of the milestones. So there, things are going very well. OpEx, we expect to spend EUR 100 million over 5 years, EUR 80 million in the first few years. We are slightly below that because consumption growth on the platform helped us make a few positive choices in terms of OpEx. For the first 2 years, we anticipated a negative contribution. It was negative, but significant -- not significantly less than the figures that we expected. We are at minus 8%, we expected 31%. Looking at EBITDA purely for the Video division, there was a slight deterioration in margin at 16.6% versus 17.4%. There were 3 effects. First, advertising revenues that declined. Of course, there was a big dramatic slowdown in H2. And that was slightly offset by the growth in advertising revenues for M6+. We responded to the slowdown in terms of linear OpEx. We saved EUR 25.4 million, and we kept investing in streaming to the tune of EUR 13.7 million that you can see. That's what we could say for video. When it comes to audio, we also started from a strong base with our essential shows that are #1 on their time slots, Ça peut vous arriver, Les Grosses Têtes, very strong morning shows on RTL, RTL2 and Fun Radio, and we added to this programming with well-known faces like Anne-Sophie Lapic on RTL, Marc-Olivier at 8:15. Anne-Sophie Lapic is in charge of the 6 to 8 p.m. slot and Ophélie Meunier is now having an interview on RTL 2 and Cyril Hanouna has a 3-hour time slot in the afternoon on fun radio. The digital dimension is not so much mentioned as video streaming, but the digital aspect for our audio channels is important. We are the only group that has such a strong presence. If you look at the top 30 podcasts, we've got 7 ranked amongst the top 30, especially with Les Grosses Têtes, which is the biggest podcast in France, has been so for a while with quite a big gap over the other. We've got 3 in the top 10. And of course, that's one of the main growth areas for [ Jonathan's ] team. now and for the next few years. Coming to more traditional audiences, we had good growth for all our stations, 16.7% plus 0.2% for audience share. Our main competitors, Radio France or other competitors were down. And you could see growth for the Lagardère Group, plus 0.7%. EBITDA margin for the audio division is still high, 24.4% margin with revenues that were slightly down. The third division, which is production and audiovisual rights. We announced that we had a quite exceptional year last year. I won't mention that again. So you have the figures for 2023, which were more nominal figures, a more nominal level for that business. So we had a good year for that division, 12.6%, plus 2 million compared to 2023. But yes, it's down by 4.7 million compared to 2024. We had 7.5 million admissions for the movies that we distributed or produced, especially Now You See Me Now, You Don't, that had a very good launch and Kaamelott Part 2 that you probably saw in a theater with 1 million admissions and [indiscernible] with a partner brand with slightly less than 1 million tickets sold. And finally, diversification. Our revenues held up almost at the same level, but profitability declined by about EUR 4 million, mostly due to a lower contribution from the SPF franchise business. 2025 was a big year for this business because we started the Sixième Avenue brand. The direct impact is that it reduced the SPI franchisees, and that had an impact on the value of the brand, and Jerome will get back to that in a second. And the other thing we can say about diversification is that for the first time, we had a full year for La Boîte aux Enfants, which operates Games Parc as Gulli Parc, so that we can add to the reputation of the Gulli brand outside of television. I will now give the floor to Jerome for investments.
Jérôme Lefébure: Well, to add to diversifications as usual, let's look at equity affiliates. All these projects were companies with strong growth where we have a stake, but not a controlling stake. Three main divisions, digital marketing, streaming tech and other smaller projects with fundamental marketing adding to the division. For digital marketing, here, an essential aspect, our activities are still profitable with growth and profitability. And Atolls, as we listed on the side, is still growing its EBITDA and margin rate, 32% in 2025 because of all efforts in the countries where Atolls is present. So Atolls is still getting stronger on its markets. Streaming tech, most of that, there used to be Salto in the past. I remember -- I remind you that we lost a lot of equity on our Salto investments. Now we're investing in operating income for streaming and with our share in Bedrock, which provides the technological platform for M6+, but it also onboarded RTL+ last year, the #1 streaming platform in Europe with the largest number of subscribers. And for Bedrock, that's an opportunity because now Bedrock will become profitable operationally speaking. It has doubled its revenues without structurally increasing OpEx. And that's the reason why -- there's still a bit of operational losses related to the onboarding costs for Germany that were still a drag for 2025, but we're now looking at the future with more peace of mind. That's for our equity affiliates. Now moving on to the operating income, the profit and loss statement. As David said, a word about EBIT because the decline in the number of franchisees who chose to stick to the historic brand of SPF franchise and those who prefer to migrate to Sixième Avenue. At the end of the year, we recognized that the balance in the split of branches led to a lower value for intangible assets that were recognized in 2023 when we took over SPF franchise. So we had an impairment test that led to EUR 35.5 million in impairments on the SPF franchise legacy brands and the impairment was -- led to a decline on operating income. The other nonrecurring costs, very rare for M6 Group. Here, we have support costs for franchisees who decided to switch brands. That was a commitment we made to them, so that they could choose very easily between the 2 brands and their future. So an impact of a few million is a very small amount. And the rest, we decided to impair assets that were used to produce drama, TV drama in 2025. The financial income reflects our investment policy over the last few years and also dividend payouts that mechanically led to cash consumption and that reduced the remunerated cash base. And so the decline in the financial income reflects the decline in excess cash and the lower rates year-on-year. That explains the entire variation at EUR 55 million. Overall, this performance and these accounting corrections for intangible assets for the SPF franchise legacy brands led to a significant tax impact because the tax the tax paid was EUR 44 million versus EUR 56 million the previous year. And the Group contributed to this exceptional tax on profit for about EUR 11 million. Now if you look at the balance sheet, we still had equity close to EUR 1.3 billion versus EUR 1.32 billion, a slight decline related mostly to the payout policy and also the declining income for the year. But what matters, and you should look at current assets with growth from EUR 790 million to EUR 846 million. That growth reflected a content funding policy that I mentioned earlier, content funding because our production subsidiary is increasing investment in feature films that mobilizes resources before the movies are released, and we increased our prefinancing for the World Cup that started in 2024 and continued in 2025. Looking at the cash flow statement, you can see all the operations that I mentioned. First, our operating cash flow with a decline in business presented by David earlier, the WCR variation with investment in content and a decline in our payables over the year. Income tax paid is close to the previous year. That won't be the case in 2026 because we'll have a lower tax cash out because of the lower results. And we end the year with cash at EUR 216 million versus EUR 332 million the previous year and net cash and cash equivalents at EUR 140 million, reflecting all these financing operations. As you know, in 2024, we said when we launched the M6+ plan that we would have a payout policy on the increase. Why? Because we want to explain that we are confident about our ability to self-finance not just the transformation of our video and audio businesses towards digital, financing that requires working capital as we saw and also sometimes additional OpEx. And at the same time, ahead of us, we've got a year 2026 that looks favorable in terms of operational cash flow and therefore, free cash flow because we've already financed 3 quarters of the World Cup to date, and we'll only have 1 quarter that will have an impact on the cash for 2026 when we will cash in the entire revenues for the event, and that will probably have an impact on the income statement. David will get back to that later. So we'll propose the payout of a dividend of EUR 1.25 per share for the third year running for the next general meeting on the 28th of April. A few words about corporate social responsibility, social and environmental responsibility for the company. Just to share with you, the decarbonation of the group was validated by SBTi end of October. Well, on Scope 1 and 2, we have committed to reduce by 42% in carbon equivalent. And for Scope 3, we're going to have 2 subsets, one that will have an absolute reduction objective of minus 25%. The second one, 2/3 of our suppliers should have carbon emissions related to -- covered by SBTi engaged suppliers. The group is mobilized to respect those objectives. David?
David Larramendy: To go back to the '26 priorities, we've talked about 2 things. the advertising market, of course, and also the impact of the World Cup. Regarding the advertising market, it is under pressure for this month and the next one with a lot of uncertainties, little visibility and a lack of visibility that's made worse by the World Cup and its expected impact that will move positions. That allows us to go back to the strength of the TV media for advertisers and media agency. There are 4 main forces, i.e., it's a media that has a daily reach of 72%, 71% of 25 to 49. It is a broadcasting context that's very safe for the brands, contrary to some platform. Thirdly, it is collective viewing. It is done with your family and your friends, which demultiplies the impact of advertising messages. And finally, it is meter that is increasingly digital with improved advertising offer, with specific elements for advertisers. Regarding the World Cup, of course, it is a wonderful opportunity for M6, a few figures. We have the next 2 editions, '26 from June 11 to 19th of July and 2034. And then we'll have other additions of the Champions League next year in Brazil, in 2027. 54 matches, 104 matches, 54 will be broadcast freely on M6, M6+ with expected audiences that will be very high. For example, probably 11 million for the first match between France and Senegal on June 16 at 9:00 p.m. Exceptional audience that you never find outside of the World Cup that can be monetized. There is regular growth of receipts after that kind of event because those events are increasingly rare and sought for by advert. We are beginning to market sponsorship at a very high level. We've launched the day before yesterday, the reservation platform for traditional spots in the competition. Of course, that has a positive impact on revenue. In the medium term, it's also good for the Group's positioning, be it vis-a-vis advertisers, distributors and viewers. Regarding the financial impact, Jerome said it, but I will repeat it. It will all depend, of course, on the results of the matches. It has an impact on -- a negative impact on the operating income and a cash -- positive cash flow effect. As Jérôme was saying, we will have the 3/4 of the competition, whereas we will get 100% of the receipts in '26. One word before we take a few questions, one word about the future. Our business is to make choices in terms of programs. We want to keep increasing our advertising revenue for audio and video. This is what we've been doing for years for RTL for 40 years for M6. We're going to keep doing that in the years to come. We're also going to transform -- keep transforming our operating model and try and adapt the regulatory framework in France. Regarding the transformation of the operating model, we're not going to wait for too long. We will try and be agile and adaptive. We are going to start a savings plan of EUR 80 million in the next 5 years around 3 areas. First, production costs. AI makes it possible to produce better with improved quality of production at a lower cost. We've started discussions with all of our producers to see how we could implement those optimizations in the years to come with a higher production value. We don't want to disinvest the content, but we want to improve them with existing and future tools. Second and third point, we're going to review all of our cost, suppliers, review our processes, simplify them, streamline our technical costs. The third point, of course, is what we want to do to adapt to the regulatory framework for the audiovisual industry. We said it for a long time. Today, the framework is obsolete. We have 6 points on which we're working. First, the 5-year rule that is blocking the consolidation of the French market. When you see what's going on in the U.S., it is ridiculous what we have in France. I hope that we'll be able to change the law in the months to come. Secondly, we still have prohibited sectors in France where you have no right to advertise. You probably know about it regarding little -- this prohibition is meaningless. It is defended by people who are stuck on old ideas that exist in no other country in Europe. So we're going to fight, be it in Paris or in Brussels for this prohibition to be lifted. Thirdly, the securing of funding, we are very much attached to the French creation model. That's why we want to change the model in order to change everybody's contribution. We have had a few steps made in that direction. I hope we will be able to continue in that direction in the next few years. Fourthly, we're going to keep reducing our broadcasting costs. We love DTT, but it should be less expensive. We started discussion with our main contact radio. Radio is a wonderful media, but it has 2 problems, legal mentions that are not adapted. I think there is a political consensus around that. We'll have to find the right legislative tool to treat differently radio and those protective messages. There are also the music quotas on which we want to fight. Since there is music streaming, how come we still have so many quotas, not only regarding French and foreign songs. We're also limited as to the number of titles we can broadcast. We have to cut the favorite songs and reduce the number of times you can play them. I don't really know why, but that is because of legislation. Last point, it's an important one also. It's one of the elements we have talked about. We have to ensure transparency and visibility for the different investments between national players and platforms. That will be good for everybody to know more about advertising investments. You know all of the subjects. Of course, it's always difficult to change the regulation. It is a harsh fight. We have to wage on a daily basis. We will keep doing it. We've already had a number of small victories beginning of '26, and we will keep fighting that fight. Thank you very much for listening to us. And now do not hesitate to ask questions if you have any.
Operator: [Operator Instructions]. The first question comes from Eric Ravary from CIC.
Eric Ravary: First question is on advertising trends. You said that in March and February, you had a downward pressure. Is it comparable to the fourth quarter, minus 7% on global advertising revenues? More globally, for 2026, do you share the views of your main competitors who said the market might go down to mid- to single digit. Regarding your savings plan of EUR 80 million. Do you have any phasing information regarding the impact? Thirdly, regarding the cost of the World Cup, which is exceptional this year. In front of that, are you going to save another programs in order to reduce the impact of the World Cup?
Unknown Executive: Regarding your first question on the advertising trend for February and March, it's not really far from the last quarter. Regarding annual forecast, I will not comment the forecast made for us. It's too early. We don't have enough visibility to do such forecast. Regarding the phasing, what is clear is that all efforts should be started now. But regarding production costs, those are industrial processes, we have to change, and it's going to take some time, and there will be a progressive ramp-up in the impact on our cost basis, but the first impact should be felt this year even though some of our events have already been prepared. So the impact will be less. Regarding the cost of -- yes. This is what we have done in the fourth quarter, we'll pay attention to the advertising market. We're going to be careful. But we really want to keep nice audiences and keep the same momentum. But then, of course, we will have phasing that will follow the advertising market. We try to be very pragmatic. You need to have the right balance between defending audiences and defending our EBITDA.
Operator: Next question by Jérôme Bodin from ODDO BHF.
Jérôme Bodin: Sir. I just had a complementary question about the savings plan. It is mainly or fully related to the TV division, if I'm not mistaken, if that is not the case, what is the distribution between TV and other divisions? Regarding this cost reduction on content and production, you said that you were referring to your external supplier costs with producers. Can you tell us more about that savings plan? Or is it only related to internal costs? Or does it also concern procurement costs externally? Is it just a question of supply and demand, you depend on producers and competition. I would like to have more information about that.
Unknown Executive: Jérôme, I understand -- your point, I understood the question about the distribution between -- it will be mainly about video and all support functions. But regarding your second question, you want to know whether we want to reduce our external costs or internal costs. To give you -- is that your question, Jérôme?
Jérôme Bodin: Yes, that was my question.
Unknown Executive: We have EUR 1 billion in costs to simplify 50% of programming and 50% of other costs regarding production costs of EUR 500 million. We're already working with all of our producers. We have 2 internal production companies, Studio 89 that produces for us Top Chef for example, an [ Seprod ] that produces news magazines we're going to work with those internal producers and with our external producers to define our savings program with an increase in what we call the production value. One is the restructuring cost -- not at this point, the majority comes from work done in collaboration with producers.
Operator: [Operator Instructions]. We do not seem to have any more questions. I'm going to give the floor to David Larramendy to conclude this presentation.
David Larramendy: Very well. Thank you, Madam. Thanks to all for having listened to our presentation and then -- we will see you at the end of the first half, and now we're going to prepare for the World Cup on our screens, June 11. Thank you.
Operator: Ladies and gentlemen, the call is now over. Thanks to all for taking part. You can disconnect. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]